Operator: Good afternoon. My name is Alexander, and I will be your conference operator today. At this time, I would like to welcome everyone to the Olo First Quarter 2021 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]  I would now like to turn the call over to Mr. Brian Denyeau. Please go ahead.
Brian Denyeau: Thank you. Good afternoon, everyone. And welcome to Olo’s first quarter 2021 earnings conference call. With me today are Noah Glass, Olo’s Founder and CEO; and Peter Benevides, Olo’s CFO. During our call today, some of our discussion and responses to your questions may contain forward-looking statements, which represents our beliefs and assumptions only as of the date such statements are made. These forward-looking statements include but are not limited to statements regarding our future performance and our market opportunity, including our expected financial results for the second quarter and fiscal year 2021, expectation regarding future operating expenses, impacts and expected results from changes in our relationship with our large customers, our market opportunity and market trends, expectations regarding the impact of the COVID-19 pandemic on our business and industry, predictions on consumer ordering volumes, to growth of our customer base, customer adoption of our products and expectations for capturing market share and our delivery of new products or product features. We undertake no obligation to update any forward-looking statements made during this call to reflect events or circumstances after tonight. These statements are subject to risks, uncertainties and assumptions. Should any of these risks and uncertainties materialize or should any of these assumption proved to be incorrect, actual comprehensive results could differ materially from these forward-looking statements. A discussion of the risks and uncertainties related to our business is contained in our final prospectus filed with the SEC on March 18, 2021 and our Quarterly Report on Form 10-Q for the three months ended March 31, 2021 that will filed -- will be filed with the SEC following this earnings call. And our remarks during today's discussion should be considered to incorporate this information by reference. Also during this call, we'll present both GAAP and non-GAAP financial measures. Reconciliations to most directly comparable GAAP financial measures are available in our earnings release, which we issued a short while ago. This earnings release is available on the Investor Relations page of our website and is included as an exhibit in the Form 8-K furnished with the SEC. Finally, at time in our prepared remarks or in response to your questions, we may offer incremental metrics to provide greater insights, the dynamics of our business or quarterly or annual results. Please be advised, this additional detail may be one-time in nature, and we may or may not provide an update in the future on these metrics. I encourage you to visit our Investor Relations website at investors.olo.com to access our earnings release, periodic SEC reports or webcast replay of today's call or to learn more about Olo. With that, let me turn the call over to Noah.
Noah Glass: Hi, everyone. Thank you for spending this time with us today. I'm Noah Glass, the Founder and CEO of Olo. I'm thrilled to be with you on this call and to share my thoughts on our company, our opportunity and our Q1 performance. Given that this is our first earnings call, I thought I'd take a moment to introduce you to Olo and what we do. Olo is a leading cloud based, on-demand commerce platform for multi-location restaurant brands, now serving over 400 restaurant brands and approximately 69,000 individual restaurant locations, and enabling them to let consumers order ahead, pay ahead and get their food faster for takeout, delivery and more. Our mission is to help our restaurant customers thrive by best meeting the needs of the on-demand consumer. I found that Olo over 15 years ago, out of my desire to get a cup of coffee faster by ordering ahead and skipping the line instead of waiting in line at a busy coffee shop. Since then, we've experienced an incredible journey. And I want to take a few moments to share some of the building blocks of the strategy that took us from an idea in June 2005. To a public company that is today, the restaurant industries mission critical software platform and with a mission to touch, add value to, and derive revenue from, every restaurant industry transaction. Importantly, Olo is a B2B software platform, not a B2C marketplace or aggregator. As a result, many of you have likely used Olo, without knowing yet, when you place orders at your favorite restaurant brands. Olo is a platform, primarily enabling enterprise restaurant brands to create their direct-to-consumer applications to enable on-demand commerce. Olo is not a consumer brand rather our interests are aligned with our customers interests, to help them drive direct digital traffic first and foremost. That takes the form of enabling ordering ahead, whether that's counter pickup, curbside pickup, delivery, or these days, even tableside delivery. If you had to describe a restaurant, you'd likely describe the traditional table service model. Arriving at the restaurant and being seated, reviewing a menu, placing an order with a server after a brief conversation, and then sometime later, having a meal delivered to your table, and eating the meal, before paying and leaving. Well, that kind of experience is simply no longer representative, of the majority of transactions in the restaurant industry. And that fact has been true even before the COVID-19 era. In fact, if you look at 2019, and you gauge the percentage of transactions represented by what the industry calls off-premise that is food consumed outside the four walls of the restaurant. Off-premise represented 63% of all restaurant industry transactions in the US. In that context, you can understand why it's so valuable for restaurants to enable a more efficient model for ordering and paying for a meal that will be consumed off-premise, both, for the benefit of the consumer and for the operational efficiency of the restaurant. By enabling the consumer to order ahead, pay ahead and get their food at the restaurant without having to wait for it, the restaurant can both enrich that consumer experience and improve their operational and financial performance at the same time. This is the core capability that Olo enables and is popularized in the restaurant industry over the past 15 plus years of our operating history. The restaurant industry shift to digital ordering has resulted in a steady and exponential growth curve of restaurant adoption of digital ordering capabilities and consumer adoption of choosing to order through digital ordering versus ordering in more traditional methods like, in-person or calling over the phone. The COVID-19 era pulled digital ordering adoption into the future, as many restaurants had limited on-premise dining service. They have shifted their attention, and consumers have shifted their use of restaurants to off-premise dining occasions. This shift and the broader interest in safety through contactless order collection, has meant that digital ordering has become even more essential and has indeed, become mission critical to Olo customers, and the restaurant industry as a whole. Years ago when I would speak to team Olo about my long-term vision for our company, I would reference a milestone moments, in which we achieved 51% of the sales of one of our customers. I said that moment would represent Olo becoming the majority order channel for that customer and others would soon follow, the dawn of digital ordering primacy. We're now seeing Olo restaurant customers who are processing 100% of their transaction volume through the Olo platform. This includes takeout orders, delivery orders, marketplace orders, and even tableside orders that are typically initiated when the guests sits at a table and scans a unique QR code to identify the table where a server or runner can deliver the food. Olo’s ambition has now grown from digital primacy to digital entirety, from 51% digital to 100% digital. We believe that Olo’s destiny is to touch every transaction, add value to every transaction, and derive revenue from every transaction in the restaurant industry. Olo’s March IPO was a manifestation of our desire to make a strong statement to our stakeholders. Olo is and always will be an independent open Software-as-a-Service, or SaaS platform, providing a stable and extensible foundation for the restaurant industry and ecosystem to build upon for the long term. Olo believes in a level playing field that promotes healthy competition, which is best for the restaurant industry. Olo is committed to serving as a neutral and open platform for the long term. To that end, we're excited to reaffirm our partnerships with DoorDash and Uber Eats and celebrate over a dozen marketplace partners engaging with Olo’s exclusive restaurant network through Olo rails and a similar number of delivery service providers engaging through Olo dispatch. We continue to focus on scaling our open SaaS platform and bringing on the best partners to add to our rich partner ecosystem of over 100 technology partners, all for the benefit of our restaurant customers. It bears repeating that our transactional SaaS business model means that more transaction volume process through Olo leads to higher revenue for Olo, similar to other consumption based models in SaaS. In December 2020, we celebrated the milestone of achieving Olo order number 1 billion on a cumulative basis since our founding in June 2005. It's worth noting that we processed more than half of those total orders, in other words, over 500 million orders in 2020 alone. While we believe that the impact of COVID-19 has served as a tailwind for the 2020 transaction volume growth on the Olo platform, remember that the larger digital transformation of the restaurant industry has been playing out atop the Olo platform throughout our 15-plus-year journey. More restaurants, more digital ordering capabilities and more consumers adopting this new digital ordering behavior means higher transaction volume year-over-year and continued 120%-plus net revenue retention. In Q1, we were proud to help Bloomin' Brands, parent to Outback Steakhouse and Carrabba's Italian Grill, replatform from their long standing homegrown digital ordering program to Ola. This is another anchor for our conviction that Olo’s enterprise grade SaaS platform will be a compelling alternative to the CapEx and OpEx of building in-house. Olo’s enterprise grade open SaaS platform offers lower upfront costs, faster time to market, lower ongoing cost of ownership, built in best practices from a decade and a half of experience, ongoing innovation, a broader partner ecosystem, and benchmarking against 400 plus other customers. In short, SaaS wins over homegrown software. As we discussed at length in our S-1 and throughout our IPO roadshow, we're incredibly excited about the opportunity presented by the quick service restaurant, or QSR, drive-thru industry, engaging with on-demand commerce. The QSR segment represents both the largest number of addressable restaurant locations and the largest number of transactions per location, and therefore represents the largest pool of transactions in the restaurant industry and an exciting segment for Olo, given our transactional SAS business model. In general, QSR brands have grown over the years through franchising, leading to disparate technology systems across franchisee operator groups, and manifesting in the kind of non-homogeneous environments for which Olo was purpose built. We further penetrated the QSR drive thru segments in Q1, with new deployments at culvers and crystal, as these brands embraced on demand commerce as a new way of providing the most convenient experiences for consumers. We celebrated other notable deployments with Nando's US, growing our relationship with Nando's that began in Canada, and an expansion of our relationship with fine dining standard bearer at Union Square Hospitality Group, whose CEO, Danny Meyer is a member of our board of directors. Our expanded the US HG relationship includes the deployment of its flagship Union Square Cafe, as well as Gramercy Tavern, Blue Smoke, and Marta, further demonstrating that on demand commerce can play an important role for every restaurant type, even fine dining going forward. And we're also excited about the growth of virtual brands, brands that don't have their own physical locations, and instead use host kitchens or ghost kitchens to produce their food for digital only ordering and a delivery only service model. These virtual brands demonstrate that Olo is a total addressable market is now bounded by the current number of restaurant locations, rather is tied to total restaurant industry transactions. And this number is not fixed, but expanding with population growth, and greater consumer preference for prepared food, off premise consumption and digital ordering. This quarter, we launched two additional celebrity powered virtual brands, including goop kitchen and Guy Fieri's Flavortown Kitchen. These digital only, delivery only virtual brands are inherently 100% Digital, and therefore speed all those paths to realize our now grander ambition to touch add value to and derive revenue from every restaurant industry transaction. Finally, I would be remiss if I did not mention team Olo and our Olo for good initiatives. During Q1, our team continued to work from home due to COVID-19 restrictions. Olo’s workforce was built to support remote working well before COVID-19. So this has been a relatively natural transition for our team. Although we look forward to being able to gather in person again in the near future, I'm proud that our team has managed to execute on behalf of Olo and our restaurant customers from a fully remote environment. Also during Q1, we joined pledge 1% to donate 1% of our time, equity and product and launched Olo for good. Our Olo for good efforts are focused on advancing racial, ethnic and gender diversity, equity and inclusion, providing relief and support for the restaurant industry and its frontline workers and ending childhood hunger. Improving our community and our world is in Olo’s DNA. We're excited to use our new status as a public company for doing even more good for our community and our industry. While we're incredibly proud to have processed over 500 million orders in 2020, we're reminded that the restaurant industry processes approximately 60 billion transactions each year. On our recent board call, one of Olo’s Directors asked me, what inning we were in for the Olo journey. Given that we're yet to achieve 1% of restaurant industry transactions. My response was, we're just getting out of the dugout. As I constantly remind team Olo, we have miles to go before we sleep. We'll continue to invest in our team, our customers, our community, and our partners, as we feel that this is in the best long-term interest of our share owners and in line with the tenants of Olo board member, Danny Meyer's philosophy of enlightened hospitality. Here at Olo, we invest in solutions that both increase our opportunity to reach new restaurants with our on-demand commerce platform, and help us to generate more value for those customers and more revenue from our platform in the form of additional average revenue per unit or ARPU. We're thrilled to be a public company, and one committed for the long-term to the success of our customers and partners, by adding value to their businesses, generating revenue for our business and delivering returns for our shareowners. I've never felt more excited, more optimistic or more purpose-driven than I do today. And I'm excited for Peter Benevides, Olo’s CFO to provide a quantitative reflection of the way I feel. Peter, over to you.
Peter Benevides: Thanks, Noah. Today, I'll review our first quarter fiscal 2021 results in detail and provide guidance for the second quarter and full year fiscal 2021. Given, this is our first earnings call, I'd like to start by briefly reviewing our financial model. We define our business model as a transactional SaaS model, as it includes both subscription and transaction based revenue streams that increase as transaction volumes grow. Our platform allows our restaurant customers the ability to provide great experiences to their consumers and increase revenue. As our restaurant brands increase revenue, our transactional SaaS model allows us to share in their success. The subscription element of our transactional SaaS model includes both the fixed fee component as well as a usage based component that increases as transaction volumes grow. We also charge per transaction fees for certain ordering and delivery enablement products, combined subscription and transaction fees charged on a per location basis is defined as ARPU, or average revenue per unit. Our ability to grow revenue is a function of adding more restaurant locations to the platform, as well as increasing the revenue we earn on a per location basis or ARPU. We believe our transactional SaaS model provides the best of both world visibility and predictability aided by the subscription component and revenue upside, due to transaction volume growth. With that background, let's take a closer look at our first quarter results. Total revenue for the first quarter was $36.1 million, up 125% year-over-year. Platform revenue in the first quarter was $34.9 million, up 136% year-over-year, primarily due to an increase in active locations coming onto the platform, as well as increased ARPU, driven by higher transaction volume growth and continued multi product adoption. While we are proud of our Q1 results, which show the value that Olo provides its restaurant customers, our first quarter results benefited from COVID-19 in two ways. First, continued strong order volume growth. And second, a relatively easy compare, since Q1 2020, was the last quarter prior to the onset of COVID-19. I will get into this a bit more in a few moments, when I talk to our Q2 in 2021 full year guidance. In terms of key metrics, we saw continued positive performance for the first quarter across all three key metrics; active locations, ARPU and net revenue retention. Let's spend a moment discussing each in a bit more detail. An active location is defined as a unique restaurant location live on the platform with at least one product module. So, for example, if an individual restaurant location subscribes to three modules, such as ordering, dispatch and rails, we would count that location once as a unique active location. That said, we ended the first quarter with approximately 69,000 active locations on the platform, a 42% increase year-over-year, and a 7% increase sequentially. This included some locations that we had originally expected to deploy in the second quarter, which helped to increase platform revenue. Additionally, average revenue per unit or ARPU, which represents the average quarterly platform revenue we earn on a per location basis continue to trend well. As a reminder, ARPU takes into account all modules subscribed to by unique location, as well as both subscription and transaction based revenue streams. That said, for the first quarter we generated an ARPU of approximately $525, a 61% increase year-over-year, and an 11% increase sequentially. Growth in ARPU was the result of continued growth in multi-product adoption as well as increased transaction volumes, which help increase both subscription and transaction based revenue stream. Lastly, net revenue retention, which measures the period-over-period change in total platform revenue for brands in the current quarter that have at least one live location in the same quarter a year prior remain strong. For the first quarter, we continue to maintain net revenue retention in excess of 120%, a result of continuing to satisfy and retain our customers, increase multi-product adoption, growth and transaction volumes and further expansion of our partnership ecosystem. For the remainder of the financial metrics disclosed, unless otherwise noted, I will be referencing non-GAAP financial measures. Gross profit for the first quarter was $30 million, representing a gross margin of 83%. This compares to a gross margin of 74% a year ago. Year-over-year improvements in gross margin is largely a result of increased leveraging platform revenue streams where gross margin was 86%. This compares to a platform gross margin 78% a year ago. Sales and Marketing expense for the first quarter was $3.4 million or 10% of revenue. This compares to $2.2 million and 14% a year ago. On $1 basis increases in sales and marketing spend were driven by our proactive investment in customer acquisition and expanding our sales organization and brand marketing, partially offset by reduced spending on travel and trade conferences as a result of the COVID-19 pandemic. While we have a highly efficient one to many sales model in which we sell at the enterprise restaurant brand level and secure all locations within that brand to long-term exclusive contracts, we anticipate investments in sales and marketing to increase on $1 basis, and as a percent of revenue in the short-term, as we continue to invest in our ability to sell new products and increase the visibility of our brand to new and existing customers. Research and Development expense for the first quarter was $11 million or 30% of total revenue. This compares to $7 million and 43% a year ago. Investing in our platform in developing new platform features and enhancements that will increase the value we can deliver to our customers is a primary strategic focus for OLO. We have made incremental investments in recent quarters to maintain strong platform performance and the uptime necessary to help our customers as they manage the sharp increase in their digital order volumes. We anticipate investments in this area to increase on $1 basis and as a percent of revenue in the short-term as we continue to invest in innovative solutions to support our customers rapidly evolving needs. General and administrative expense for the first quarter was $9.5 million, or 26% of total revenue. This compares to $4.3 million in 27% a year ago. On $1 basis, the increase was primarily tied to our efforts to support becoming in operating as a public company. We expect that our general and administrative expenses will continue to grow on $1 basis will decline as a percentage of revenue as we continue to scale our operations over time. Operating income for the first quarter was $6 million, compared to a loss of $1.69 million a year ago. We believe this improvement in profitability illustrates our ability to meet increased demand cost effectively as well as the benefits associated with our high leverage success based pricing model. As we continue to grow and scale the business, we believe we have a great opportunity to continue to invest in capturing more of our total addressable market while meeting the needs of our existing customer base. Net income for the first quarter was $6 million or $0.03 cents per share based on $185.5 million fully diluted weighted average shares outstanding. Turning our attention to the balance sheet and cash flow statement. Our cash, cash equivalents and marketable securities balance was $586.6 million as of March 31 2021. This reflects $485.5 million of net proceeds from our successful initial public offering in March. Regarding cash flows, operating cash flow was $4.2 million compared to $3.7 million a year ago. Free cash flow was $4 million compared to $3.6 million a year ago. Before I turned to guidance, I would like to spend a moment discussing the recently announced multi-year agreement with DoorDash. This new three-year agreement reinforces the long-term commercial partnership between Olo and DoorDash and will enable us to continue to work together on products and features that will unlock value for both companies as well as our shared customer base. From a financial perspective, this new agreement is in line with our expectations and we are really excited for the path ahead. I’ll wrap-up by providing our guidance for the second quarter and full year 2021. For the second quarter, we expect revenue in the range of $33.9 million to $34.4 million and non-GAAP operating income in the range of $2.3 million to $2.7 million. For the fiscal year 2021, we expect revenue in the range of $140.4 million to $141.9 million and non-GAAP operating income in the range of $13.3 million to $14.5 million. I would like to highlight a few things to keep in mind about our outlook. We are incredibly excited by the underlying trends in our business and the market opportunity ahead of us, as Noah mentioned, we are still in the very early stages of the shift to digital ordering and expect to continue to deliver strong revenue growth rates. At the same time, we expect the extraordinary growth in order volume that we experienced during COVID-19 will begin to moderate to a more normalized level. But we expect good overall transaction volume growth in 2021 given the number of new locations that we expect to deploy on our platform, coupled with expected further increased penetration of dispatch and rails, and anticipated continued growth in our partnership ecosystem. There is also uncertainty in the near-term pertaining to current location transaction volumes, given some of the evolving dynamics at play. Specifically, as vaccination levels and in-person dining continue to increase, we anticipate digital order volumes in the second and third quarter to be impacted, and then normalized by the end of the year. Additionally, this past quarter, the fiscal stimulus pertaining to the recently enacted American Jobs Act helped fuel transaction volume growth. But similar stimulus programs are uncertain as we move forward we still remain thoughtful as to how we think about water volume growth. With that said, we will continue to take a prudent approach to forecasting given the uncertainty related to order volume trends due to the COVID-19 pandemic. To summarize, we delivered another exceptional quarter of operational and financial performance. We are delivering on our mission and believe Olo’s position at the center of the digital restaurant experience, will continue to drive an attractive combination of strong revenue growth and profitability. I now like to turn it over to the operator to begin the Q&A session. Operator?
Operator: Thank you. [Operator Instructions] We have your first question from Chris Merwin with Goldman Sachs. Your line is open.
Chris Merwin: Thanks. Thanks so much for taking my question. And congrats on the great first quarter, you're out of the gate. I just wanted to ask with more restaurant re-openings of indoor dining and the like. Can you talk a bit about what you're seeing with online GMV? Maybe ask another way, what percentage of your restaurants are in categories with the high mix in-person dining versus delivery and versus restaurants, where 100% of their order volume could see easily be online. Trying to get a sense for what that restaurant mix looks like, and generally, what the trends you're seeing are as it relates to online ordering GMV. Thanks.
Peter Benevides: Yes. Thank you, Chris, Peter here. So look, from a trend perspective, what we've seen this past quarter has largely remained in line with what we've seen in recent quarters in terms of strength and transaction volumes. We obviously started to comp a bit against the initial impact of COVID at the end of the quarter. So our expectation has been that order buyers would start to see some near term impact from increased vaccinations and pent up demand for in-person dining, which from our perspective is likely to play out a bit more in Q2 and Q3. And while early, we have started to see some signs of that, that in April, again, in line with our expectations. But I think from a high level, I think, we're really excited about the underlying trends of the business. They continue to be strong, I think, as evidenced by our Q1 performance, and as well as our guide for the next quarter with a 40% year-over-year target at the midpoint of the range. So, really excited about the trends ahead.
Chris Merwin: Okay, perfect. And maybe just one quick follow-up, I just wanted to ask about Olo pay. And if you can share there about timing around, when you might be targeting general availability or any kind of initial -- the thing it might be in beta, but any short customer feedback to-date. Thanks.
Noah Glass: Hey, Chris, Noah here. So, on Olo pay still very early, same as when we spoke about Olo pay in Analyst Day and along the road show. We're continuing to work with a handful of brands that are in beta. I think that's the appropriate way of thinking about 2021. This is the time when we're going to learn during 2022. We're going to work with some additional brands, and really try to make sure that we get it right and have some great reference accounts there. With datafication that in 2023 we will be in a position to step on the gas from a go-to-market perspective. So, have hold two thoughts and we had one early in the process of deploying this. We're learning a lot. We're applying our growth mindset to it as we go about Olo pay. But we think that this is a big opportunity, and we want to make sure that we get it right.
Chris Merwin: Okay, great. Thank you.
Operator: We have your next question from Sterling Auty with JPMorgan. Your line is open.
Sterling Auty: Yes, thanks. Hi, guys. So, wondering in terms of the visibility on the number of locations that you roll out this year, how much control -- or how much of that is locked in? And what I'm wondering is this in an individual franchise location, let's say we have a big rush to in-store dining, can they turn around and say, hey, we're originally scheduled to go live on although in the first week of September, but we want to delay that to 2022??
Peter Benevides: Yes, Sterling, so thank you for the question, Peter here. So, I guess let's just talk about Q1 performance for a moment in terms of new location ads and then I'll address the second part of your question on the in-person dining dynamic and how that may impact the deployments in coming quarters. So, in terms of this past quarter, obviously, deployments exceeded our expectations, which I think is in part what you're seeing play out in the revenue outperformance. And this was in large part a really a function of timing. So, on a full year -- our four year target basis, it remains unchanged. We've been targeting the low double-digit tens of thousands of location ads in 2021 and we're tracking well to that level. So, while we -- we don't think what occurred in Q1 is a normalized rate of growth going forward, we're really excited to see the momentum that we've built up in Q1 as we enter into Q2. In terms of reopenings and the impact that could have on deployments, we're not seeing any indication of that at this time. We're seeing a lot of momentum in brands wanting to have their digital ordering systems up and running as really a -- an opportunity to increase revenue and address consumer demand given that consumers have come to appreciate and enjoy the benefits associated with digital ordering. So, at this point we're not seeing brands having to make a binary decision between reopening and deploying digital ordering, we're seeing a lot of momentum on that front.
Sterling Auty: Make sense. Thank you.
Operator: We have your next question from Brad Reback with Stifel. Your line is open.
Brad Reback: Great, thanks very much. Maybe if we can flip Sterling's question a little bit and look at it from this perspective where restaurants are clearly having a hard time hiring enough people to meet demand. Are you seeing organizations begin to use a little more aggressively in-store to help meet that shortfall? Thanks a lot.
Noah Glass: Brad, this is Noah, thanks for the question. I think this is something that we've seen over our history is brands thinking about how they can best deploy labor to provide the greatest hospitality to their guests. And I think one of the things that's always been true about Olo is there isn't a lot of hospitality in the experience of taking somebody's order and ringing them up for the transaction. And those are the things that our platform has always automated. So, what that means is that historically, brands have been able to use their labor, use those resources to providing a more hospitable experience in actions like handing the order over to the consumer and having a conversation with them there. So, we're really excited about that.  And then we also are seeing, as I mentioned in my prepared remarks, the use of QR codes on the table for what we think of as Table Service 2.0 of the consumer scanning a QR code that then tags that order with the table numbers, so that the server or runner can run the order out to them. And I think net-net these are things that are going to help brands do more with less from a labor standpoint and be efficient. We're not saying that brands should have less labor than they traditionally have. We believe there's going to be a lot of in-person dining and sustained high levels of off-premise dining continuing to grow as we've seen. We think that digital and Olo have a big role to play in both, a big role to play in off-premise and a big role to play in on-premise. And that is why our new ambition is not just about the 63% of transactions in the industry that are off-premise, but all 100% of the transactions are in the industry and we're excited about that new ambition. 
Brad Reback: That's great. Thanks very much. 
Operator: We have your next question from Bhavan Suri with William Blair. Your line is open.
Bhavan Suri : Hey, Noah. Peter, congrats, nice job there. I just want to touch on a couple things. Maybe I'll start off with ARPU, really nice uptick in ARPU and I was just wondering sort of could you give us updated number of locations using all three modules? As you think about that ARPU growth, how should we think about going forward between module uptake versus in per client transaction volume? I know you've dampened the in per client transaction volume just to be conservative, well help us how to think about that through the year?
Peter Benevides: Yeah. So just -- thank you for that question. So in terms of multiproduct adoption, we made a lot of progress this past quarter in terms of deploying dispatch in Rails and that is again, part of -- and part of what's driving the outperformance in Q1 and the increases in ARPU that you've seen. Looking forward, there are still brands in the deployment pipeline that will deploy in later quarters across dispatch and rails. And that is what is reflected in the numbers that we've shared.  That said, we also continue to see growth in brands subscribing to one -- sorry, more than one Olo module from the onset of the relationship, which could have an impact on net revenue retention long-term because we're starting at a higher base, but it's great to see ARPU in that case, starting at a higher point.  In addition to dispatch and rails upsells that have been positive today, we're also seeing a lot of momentum in Olo network and virtual brands, which Noah covered in his remarks. Both of those have been gaining more traction as growth sectors for the company, which is exciting to see. So, in short, a lot of opportunity for growth ahead across a number of different modules and you'll start to see that play out in ARPU over time. 
Bhavan Suri: Yeah. No, that's helpful. I guess wanted to touch on exactly that the virtual brand goop Kitchen, right. You highlighted goop Kitchen Flavortown. But not this year or next year, well, these are still kind of novel concepts. But you take the question that was previously asked about this labor issue, this idea that we’re going to have great hospitality, but no need to come and get it because I'm just going to have a kitchen and deliver what I do, which is make really good food as a chef.  What do you think that looks like from the actual goop Kitchen marketplace in say, three to five years? And then obviously, that plays into Olo, what do you think are necessary as part of your business in three to five years? 
Noah Glass: Thanks, Bhavan, I'll take that. This is Noah. Look, we're really excited about the trend of these virtual brands. We think that they're great opportunities both for existing restaurants that want to add on to what they're able to do out of their existing fleet of restaurant kitchens. We see restaurant brands launching additional virtual brand concepts, but cooking out of their existing fleet. And then for entrepreneurs as you mentioned, we mentioned the two new celebrity inspired virtual brands with Goop Kitchen and Guy Fieri ‘s, Flavortown kitchen in the prepared remarks. We think there's going to be more of this going forward that this is really democratizing access to launching restaurants. And it's not just launching in a single geography. We have examples in Mr. Beast Burger late in 2020, a concept that was launched simultaneously in 200, kitchens across the country overnight. And that was something that used to take decades and decades for restaurant operators, restaurant entrepreneurs to achieve that kind of physical availability. So, we're excited about that. And of course, from the Olo perspective, the fact that as you mentioned, these are inherently 100% digital, and so it really speeds our path to getting to that ultimate destiny of touching every transaction, adding value to every transaction, and deriving revenue from every transaction. And I think that restaurants and restaurant operators are proving that they can manage these virtual brands in a way that is highly profitable, and perhaps more profitable than the commission heavy order volume that they're getting through marketplace channels. I think that'll be an interesting trend to see over time, as our restaurants doing virtual brands more and accepting orders through restaurant delivery marketplaces less, do both of those trends rise at the same time. We're excited about all of it, adding to the digital ordering market and Olo’s opportunity.
Bhavan Suri: Super, super, really helpful. Thank you guys. Appreciate you taking the time.
Noah Glass: Thank you.
Operator: We have your next question from Terry Tillman with Truist. Your lines open.
Terry Tillman: Yeah, thanks for taking my questions. And congrats on this initial quarter as a public company. I guess maybe the first question is, you know, as we get through -- we got through ’20. I assume some of these large QSR brands and just large brands in general across the food industry, just got by with something that hadn't placed. You mentioned Bloomin' brands, which sounds like a great replatforming. What I'd love to hear Noah is, kind of what you're seeing over the last quarter or two in terms of propensity to say, hey, we got through the pandemic, not in great shape. But now let's go do a roll replatforming. So what is the pipeline like for these larger kind of replatforming opportunities?
Noah Glass: Hi, Terry, it's a great question. And that's something that we're excited about. I mean, when we think about the different segments of the industry, it's not the same story in each segment. There are QSR opportunities that are largely Greenfield opportunities. And then there are these other opportunities typically in casual dining, or in fast casual, that are replatforming opportunities. We have a great track record of taking brands that have built in house whether that's Brinker with Chili's and Maggiano’s or if we look at Papa Murphy's, both of which we talked about at length during our roadshow or this new example of Bloomin' brands with Outback and Carabaos. And we think that long term that wins and that there's a great opportunity for brands that have built in house to see okay, there is some capital in the initial CapEx, but it's really the OpEx, that ongoing costs of doing this in house that I could save money on and have better innovation, better benchmarking as other brands, a broader partner ecosystem by moving to a mature enterprise grade SaaS provider. And we believe that's the role that we're playing. And also that there are parts and pieces of what we do that can add value to a brand, that maybe isn't ready to re-platform their entire stack over to Olo, but might say, no, I could use Olo to add direct-to-channel delivery with the dispatch platform, or I could use Olo to take orders from marketplaces through the rails platform. And we can begin to develop our relationship with those brands, through components of our full product stack. And then ultimately, prove ourselves and win the full stack overtime. So we're excited about the opportunity with those of replatforming kind of brands. And we think that -- this is a moment where it's improving that on demand commerce is mission critical. That's not okay just to have a, program for on demand commerce, you need the best program for on demand commerce, and we believe, that's what we've set up Olo to be.
Terry Tillman: That's great to hear. And I guess, Peter, just a follow-up question. Any thoughts or anything you'd call out in terms of timing of cash payments between 2Q and 4Q, just trying to think about free cash flow? I know that sometimes the DSPs can have some volatility and lumpiness around those cash payments, which is how we think about free cash flow either in 2Q and the rest of the year? Thank you.
Peter Benevides: Yeah. Thanks, Terry. So obviously, we're not guiding to free cash flow. But what I can say is, this past quarter, you saw a relatively tight coupling between, non-GAAP op. incomes and free cash flow. And that is, important because of the cash conversion cycle associated with our dispatch platform was tightly coupled to our to our AR collections, which is good to see. As we mentioned before, there will be periods in which, the timing in which we collect from our brands relative to when we pay our DSPs can fluctuate quarter-to-quarter, but typically, on a full year basis, you'll see that the 2Q numbers, non-GAAP op. income and free cash flow are tend to be in line.
Terry Tillman: Thank you, Theresa.
Operator: We have your next question from Matt Hedberg with RBC Capital Markets. Your line is open.
Matt Hedberg: Hey, guys, Thanks for taking my questions. No, I had a question on international opportunity. I know, it seems like, it's maybe a little ways out here, but you have a lot of big brands that have international locations. And I guess, I'm sort of curious, what might make you move faster to address and really help a lot of your, kind of your global brands really, kind of embark on a global digital transformation, I guess, what's the alternative, if you're not helping them today?
Noah Glass: Matt, thanks for the question. We believe that the domestic opportunity is just a massive opportunity we've taken the baby-step of expanding from the US and the Canada. And you see an example this quarter of how that served as well, starting our relationship with a multinational brand in Nando's, in Canada, and then helping them as well in the United States. So we do think that, what we're doing is setting the table for those larger international opportunities overtime. But when we think about, where our focus lies, it's really in serving the enterprise restaurants in the US and Canada markets. Because we think there's a great opportunity for us there. And it is the fastest path for us to become a billion dollar Revenue Company, the fastest and most efficient path for us to do so. So I believe that, we're developing the relationship with those large multinational restaurant brands, most of which are domiciled, here in the US. And we're proving out, how vital Olo is to their success, as a mission critical platform, so that when they're ready and we're ready to expand into international markets with a platform of choice for them to do so. I guess to answer your question directly, in order for us to kind of change our mind on this, to say, let's go chase international growth over expanding, as we have been in the domestic opportunity, I mean, it would take something giving us the conviction that that was a better path for us to scale the business and serve our customers. We haven't seen that yet. We believe that the best area for us to remain focused is enterprise grade restaurants or the enterprise segments of the industry in the US and Canada and enriching the offerings for that cohort.
Matt Hedberg: Got it. Yes, that makes a lot of -- the success in Canada is certainly notable. And I think it's a great -- at least, I think, we only think about going beyond Canada. I think there's certainly an opportunity there. And then I guess secondarily, when we talk to your customers, I think, one of the things that you guys do best is just take pain points out of the whole digital experience. And I know you're handling a lot and you've got a lot of growth initiatives. But one of the things that we kind of kept hearing was this whole loyalty system, right, which you integrate with -- well, with a number of loyalty players. But I guess, the question is, how do you think about that as maybe a longer term opportunity, or just taking more of the friction out of a system that you're already helping to improve?
Noah Glass: Yes, I think that there are a lot of great capabilities that are beyond the scope of what we offer today, but represented by a thriving partner ecosystem that we enjoy at Olo. And we do, to your point, have a lot of great loyalty providers, CRM providers who help restaurants to really understand for the first time, using the data that's generated through Olo and the other technologies, who their customer is and how they can best develop a direct relationship with that consumer. It's not something that we offer directly. It is something that we're excited to have a thriving network of partners helping to do under the heading of, how do you help restaurant brands really meet the needs of that on demand consumer. And I think about something that I remember from back in 2014, when Danny Meyer joined our board and became an investor, and he was talking and reflecting upon the Open Table platform and initial feelings about the Open Table platform and coming to understand that beyond just taking reservations, Open Table was really a CRM platform that enabled greater levels of hospitality in the fine-dining segments. And he made a comment then that, I view what Olo is doing in the segment of the industry we were really exclusively playing then in fast casual as enabling hospitality at fast food or fast casual speed and scale. And I think that's a great thing for our customers to do, as they seek to build out there direct relationship with consumers and build out a thriving direct ordering channel. And we're thrilled to have a great partner ecosystem integrated tightly into Olo to help them to do that.
Matt Hedberg: Thanks, Noah. Congrats again, on the results and the success.
Noah Glass: Thank you.
Operator: We have your next question from Brent Bracelin with Piper Sandler. Your line is open.
Brent Bracelin: Yes. Thank you. Hey, Noah, I was hoping you could address the customer engagement in light of several states reopening here in broader vaccinations. How's the dialogue changing with prospects and restaurant brands, at least in April and May so far? Are there different triggers the way brand would engage with [Technical Difficulty]
Noah Glass: Brent, you broke up a little bit for me there. But I think I got the gist of your question. And I of course welcome you to ask a follow-up, if I miss the target here. But what we've seen is that there is strong interest in digital ordering and delivery capabilities that restaurant brands in every segment and every service model of the industry have come to see this as mission-critical for meeting the needs of the on-demand consumer. And as I mentioned in the prepared remarks, this was certainly pulled into the future through the year we've just lived through, but it was also something that was growing and growing the consumer need for that on-demand experience at restaurants long before COVID. And we are thrilled about what our restaurants have been able to do in meeting the needs of the on-demand consumer before COVID hit and throughout the COVID period. So we think this is really something that has woken up a lot of the digital laggards that were out there in the industry, and maybe the late adopting segments of the QSR brands that are out there that have now realized the drive thru which used to be the fastest and most convenient way of serving the guests is no longer the pinnacle of convenience. Now I must have the ability for on-demand orderings, the food is ready when they arrive or even better delivered to them. But we think other restaurants that just come to experience, the services that OLO provides and on-demand commerce in general, as the mission-critical platform, the mission-critical system for their overall operation.
Brent Bracelin: Helpful. Then I guess Peter, just as you think about kind of the revenue guide here. It does imply a slight sequential decline, I assume most of that's transactional, but love to get any sort of color what you're seeing on the transactional side volumes in April, May so far. And then, is it right to assume both the client will be transactional or any reason why subscription revenue [Technical Difficulty] sequentially? Thanks.
Peter Benevides: Yeah. Thanks, Brent. So, couple things to keep in mind when thinking through the guidance. So 1Q came in well ahead of our expectations. I think specifically in terms of more active locations came onto the platform in Q1 than expected, as well as higher up cell deployments than anticipated so that both benefits Q1, but then leaves less incremental revenue coming online than originally expected to then offset any potential headwinds in near term order volumes. We also benefited to some extent from the positive impacts stimulus payments had on consumer spending. That's a dynamic that largely played out in Q1 and not carrying over into Q2. And we've always expected, again, some near term impact on transaction volumes due to the reopening starting this quarter. And although it is early, we have begun to see some signs of that. But I think it's important to know that, again, the underlying trends of the business in terms of sales and deployment pipeline continue to be strong. And I think that's evidenced by a 40% guide at the midpoint that we're really excited about.
Brent Bracelin: That's helpful. Thank you.
Operator: I'm showing no further questions at this time. I would like to turn the conference back to Mr. Noah Glass for any closing remarks.
Noah Glass: Thank you. Well, thank you all for your time and for the thoughtful conversation today. We plan to keep executing on our mission far into the future. We're excited to continue the process of getting to know you all and building our long-term relationship as all those opportunity grows. So until next time, thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.